Operator: Thank you for standing by and welcome to the first quarter 2016 JinkoSolar conference call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I must advise you that this conference is being recorded today, May 27, 2016. I would now like to hand the conference over to your host for today, Mr. Sebastian Liu. Please go ahead, Mr. Liu.
Sebastian Liu: Thank you operator. Thank you everyone for joining us today for JinkoSolar's first quarter 2016 earnings conference call. The company's results were released earlier today and available on the company's IR website at www.jinkosolar.com, as well as on the newswire services. We have also provided supplemental presentation for today's earnings call, which can also be found on IR's website. On the call today from JinkoSolar are Mr. Chen Kangping, Chief Executive Officer, Mr. Cao Haiyun, Chief Financial Officer and Mr. Gener Miao, VP of Global Sales and Marketing. Mr. Chen will discuss JinkoSolar's business operations and the company's highlights, followed by Mr. Gener Miao who will talk about the sales and marketing and then, Mr. Cao, will go through the financials. We will all be available to answer your questions during the Q&A session that follows. Please note that today's discussion will contain forward-looking statements made under Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future result may be materially different from the views expressed today. Further information regarding these and other risks is included in JinkoSolar's public filings with the Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements except as required under applicable law. It is now my pleasure to introduce Mr. Chen Kangping, CEO of JinkoSolar. Mr. Chen will speak in Mandarin and I will translate his comments into English. Please go ahead, Mr. Chen.
Chen Kangping: [FOREIGN LANGUAGE] Thank you Sebastian. Good morning and good evening to everyone and thank you for joining us today. [FOREIGN LANGUAGE] I am happy to the strong performance of this quarter. Total margin shipment during the quarter reached 1.6 gigawatts, as global demand continues to grow, particularly in a number of the emerging markets. Revenues during the first quarter reached $847.8 million representing an increase of 98.8% over the same period of last year. GAAP net income and non-GAAP net income for the quarter reached the $48.6 million and $64.3 million respectively. [FOREIGN LANGUAGE] This June marked our 10-year anniversary and I am proud of what we have achieved throughout the year in becoming a global leader of the solar industry. In the 10 years, we have shipped about 13 gigawatts of solar modules to more than 1,700 customers from 70 countries and regions. We delivered on average over 1 gigawatts of solar projects. We began our journey from humble beginnings and sustainably built our way into a globally recognized brand. In Q1, we became the biggest module supplier among our peers. We will continue to grow our business in a sustainable and conservative way and generate long-term return for our investors. [FOREIGN LANGUAGE] Our position as the market leader in China was solidified as large orders continue to come in before the FIT cut due as end of June. We expect this trend will continue in this quarter. In U.S., we continue to grow market share although the extension of ITC has resulted in some of the project being postponed, we are very confident to meet our shipment targets to the U.S. for the year. Our newly added overseas production capacity is ramping up very fast, which will give us more flexibility and generate larger margins. The increasing recognition of our brand name is also generating great opportunities in exciting emerging markets such as Chile, Thailand and India, which Gener will go over in details later. [FOREIGN LANGUAGE] Electricity output during the quarter was 210 gigawatts, up 36.4% sequentially and generated RMB185 million in revenue. Power output was still impact by curtailments in China western regions and Chinese New Year holiday. But the shortfall was partially offset by ramping up of our project, especially in China eastern regions. We expect power output to improve substantially next quarter as curtailment impact decreases and more projects ramp up to full capacity. Our total capacity of connected projects remain 1,007 megawatts as no new connections were made in the quarter, because most of our projects under construction are located in China eastern regions where approval and connection proves require longer periods of time. We expect a number of projects to be connected next quarter before the FIT cut and we remain on track to hit our development guidance of this year. The management continues to work on the spin-off process and we will update the market when appropriate. [FOREIGN LANGUAGE] Global solar demand continues to grow as costs goes down. We have been hearing and answering the expressed concerns over [indiscernible] and the ripple effect and the potential oversupply in the second half of the year. Despite these concerns, we have always been confident in the industry's future and our ability to stay high-performance in the second half of the year and going forward. [FOREIGN LANGUAGE] On the technology front, I am pleased to say, our 1500-Volt Eagle modules immediately became available for sale in North America. While I am sure that they will help us further increase market share, we are also looking on the mass production of our next-generation high-efficiency wafers and cells which will again increase output and stability of our solar products. In terms of the quality control, we have always maintained the highest quality standards in the industry and I am sure that our customers are receiving reliable products and investment returns. [FOREIGN LANGUAGE] The spot price for polysilicon has begun to rise following a year of reduced price points. While this would typically impact our core structure to some extent, we have ordered and build up some stockpiles before the price jump, which will mitigate impact. We expect to say in the second half of the year, the poly price will stabilize. It will be after all driven by the price of solar products. [FOREIGN LANGUAGE] During the quarter, we were awarded three solar power projects totaling 188 megawatt AC in Mexico during the nation's first tender auction. This is separate business from our oversea module sales and marks our expansion into overseas projects developments. This also demonstrates our brand name recognition, technological strength and financial capabilities in overseas markets. The management closely follows the overseas project opportunities especially in emerging markets such as Latin America, Asia countries along the [indiscernible] and Southern Africa countries as well as opportunities in mature markets. We would also like to work and operate with our partners and stay open and flexible to those opportunities. [FOREIGN LANGUAGE] I am always confident in the long-term growth of solar industry and JinkoSolar's growth prospects. And I am pleased to see such a strong start to the year for us. [FOREIGN LANGUAGE] Before returning the call to Gener, I will quickly go over the guidance for the second quarter and full year 2016. In the second quarter, the company estimates total solar module shipment to be in the range of 1.6 to 1.7 gigawatts which include 1.45 to 1.6 gigawatts module shipment through the third parties. For the full year 2016, the guidance stayed the same. The company expects the total market shipment to be in the range of 6 to 6.5 gigawatts which includes 5.4 to 5.7 gigawatts shipments through the third parties. The company expects to connect solar power project with new capacity of 600 to 800 megawatts in 2016. [FOREIGN LANGUAGE] Thank you, Sebastian. With that, I will turn the call to Gener.
Gener Miao: Thank you Mr. Chen. I am happy to report another great quarter of sales result in which we shipped a total of 1.6 gigawatts of solar modules, making us the largest solar module supplier among our peers. With such a strong growth momentum to start the year, we are optimistic about our prospect for the next quarter and the rest of the year. During this quarter, we continued to balance our geographic distribution in 45 countries and the region. We shipped 1,434 megawatts of solar modules through the third parties, in which 37% went to China, 30% to North America, 7% to Asia-Pacific, 7% to Europe and 18% to emerging markets. We have devoted efforts to strengthen our relationship with our global partners. In the meanwhile, focused on increasing payment terms and the receivables management. I will now take a closer look at each of these important markets and provide a little bit more color. China continues to be our largest market where the Q1 s typically a slow quarter due to Chinese New Year. We still received a large number of orders and momentum will continue at least until the end of June cut of FIT. While demand may slide after that, we expect it could pick up in the fourth quarter, especially towards year end. We may see some price fluctuations, but in general it should stabilize. China market will remain the word's largest market this year and we are optimistic for this year's final results. The U.S. market will be our big growth driver this year and we are devoting much of our time and resources there proportionally. The extension of ITC has resulted in some of the projects this year to be postponed which will make the ASPs drop slightly. But it will not impact our sales target in the U.S. for this year and we believe it will be a long-term approach for the U.S. market. For the market, we believe demand for utility scale projects will remain high throughout the year and well into 2017. The residential and commercial solar installation market continues to grow steadily which will also create a more balanced market for the solar product going forward. With our new capacity ramping up very fast in Malaysia production facility, a big portion of our shipments to the U.S will be coming from our oversea production facilities in the second half of the year which will generate better profit and flexibility. In European markets, we are still standing under MIT framework Demand in Europe is slowing down. The U.K. continues to be one of the region's most promising market and one in which we are very active. Turkey also continues to show promise as its solar market gets moments. In the Asia-Pacific region, shipments to Japan remains steady. In India, we are seeing active bidding of several big projects that are being formulated following the steady stream of supportive quality issued by the government. Thailand is also showing great future potential as its market grows in size and we have already began planning to redirect our resources towards this key market once opportunities come on. In emerging market, we have forged a strong relationship with local governments and the strong partners in Middle East and Africa, which we expect will help us to grow in this region and to further balance our geographic mix in a stable way. We performed especially well in Latin America this quarter where our brand name has helped us to secure the at largest market share in a number of key countries. We ranked the number one in Chile in terms of market share. We are accounted for approximately 70% of our total shipment numbers this quarter. Globally, our ASP remains stable during a traditionally slow quarter in most regions and we expect the ASPs in the second quarter to further stabilize with a slide decline. In this quarter, our ASP came in at $0.55, down $0.01 from the fourth quarter. Moving to market and branding. We participated in a number of events, exhibitions and conferences during this quarter. In January, we attended World Future Energy Summit in Abu Dhabi and in March we attended Power & Electricity World Africa in Johannesburg which are the most important tradeshows in the Middle East and Africa region. During the PV Expo in Japan in March, we launched the Eagle Black, black silicon module and the Eagle Dual, dual glass module along with interviews of several local well-known leaders. Through this event, we further strengthened our leading position in brand value and recognition worldwide. Now I would like to turn the call over to Charlie who will go over through our financial results of the first quarter of year 2016.
Cao Haiyun: Thank you, Gener. I would like to walk you through our financial results for the first quarter 2016. Total solar module shipments were 1.6 gigawatts, up 103% year-over-year with shipments exceeded the high end of first quarter guidance. At the end of Q1, we had 1,007 megawatts solar power projects in operation. Total revenue was $847.8 million, up 99% year-over-year. Revenue generated from solar power projects $29 million, up 36% sequentially and up 82% year-over-year. Gross margin was 21.3% compared to 19.5% in the Q4 2015 and 20.3% in Q1 2015. The increase was due to a lower module manufacturing cost and the higher gross margins associated with electricity revenue. ASP was $0.55 per watt compared to $0.56 in Q4. We continued to cut our in-house manufacturing cost to $0.37 per watt from $0.39 in Q4. The blended cost, excluding the U.S. power cost, was $0.41 per watt compared to $0.42 in Q4. Our operating expense is presently 10.8% of total revenue, compared to 11.8% in the Q4 2015 and 11.9% in Q1 2015. Operating margin was 10.5%, compared to 7.7% in Q4 2015 and 8.4% in Q1 2015. Net interest expense was $20 million, up 30% sequentially and up 101% year-over-year. The increases was due to increase of loans used for solar power projects. At the end of Q1, we had two outstanding convertible bonds. After the purchase, the first one was $47 million due in May 2016 and second one was $137 million due in 2019 with put options in February of 2017. In May, we had convertible bonds of $47 million where the first one were fully repaid. EBITDA was $125 million compared to $119 million in Q4 2015 and $56 million in Q1 2015. EBITDA related to solar power projects was $15 million, compared to $9 million to Q4 2015 and $12 million in Q1 2015. Net income was $49 million which translates into basic and diluted earnings per ADS of $1.56 and $1.44 respectively. Non-GAAP net income was $64 million which translates into non-GAAP basic and diluted earnings per ADS of $2.04 and $1.72 respectively. Now let's move to the balance sheet. At the end of Q1, cash, cash equivalent and reserved cash were $523 million compared to $654 million at the end of Q4. Our accounts receivable was $611 million compared to $528 million at the end of Q4. Inventories were $482 compared to $495 million at the end of Q4. The total debt were $1.61 billion compared to $1.57 billion at the end of Q4 with debt related to solar power projects were $865 million compounds to $760 million at the end of Q4. Total CapEx plan to our model in 2016 is expected to be in the range or $150 million to $200 million. At this moment, we are happy to take your questions. Operator?
Operator: [Operator Instructions]. We will take our first question from Philip Shen from Roth Capital Partners. Please go ahead. Your line is open.
Justin Clare: Hi everyone. This is Justin Clare. I am on for Phil today. So first off, I just wanted to ask about the mix in China for Q2. What is your expectation there? And then, could you tell us what percent of your Q3 bookings are for the China market?
Gener Miao: So this is Gener. Thanks for the question. Approximately the first half, the China and the U.S. will take approximately 30% to 35% for each for the first half of shipment numbers expected. And for this Q3, since we are pretty fully booked for the first half, so we are expecting a loss of orders to go through Q3. So we are expecting around 20% to 25% of our shipment is coming from China during Q3.
Justin Clare: Great. Thanks. And then I am wondering about pricing for Q2. Can you give us a sense for what the ASP might be? And then based on your bookings for Q3, what kind of sequential pricing decline could we see?
Gener Miao: You mean China? Or you mean globally?
Justin Clare: Maybe for China and globally, if you could talk about both?
Cao Haiyun: So as we have talked about it, for this Q1 our ASP is $0.55. So we are expecting a similar level price, maybe a little bit lower in Q2 but relatively it could be stable. And for China, we are expecting a similar situation and for global ASP as well. In Q1, our China ASP is around $0.50 and we are expecting the price will be stable, may slightly decrease, but in general it could be stable for the first half.
Justin Clare: Okay. And then one more from me. So you had reiterated your downstream development guidance, the 600 to 800 megawatts for the year. So we have heard that the Chinese government may be considering an extension in the feed-in tariff to the end of August instead of the end of June. Could you help us understand how likely this is and how this could impact, either your downstream plans or the market in China?
Cao Haiyun: I heard in the news today but it's not confirmed with relevant authorities. And so our downstream projects guidance, 600 megawatts to 800 megawatts, we are very confident and we are on the track to achieve the goal. And by the end of the firs quarter, we had along 600 megawatts projects under construction and we target to connect 400 megawatts to 500 megawatts before the June 2016. So I think even if the deadline delays to August, there is no significant impact on us for our construction trend.
Justin Clare: Okay. Great. Thanks That's it for me.
Operator: Thank you. We will now take our next question from Patrick Jobin from Credit Suisse. Please go ahead.
Maheep Mandloi: Hi guys. This is Maheep on behalf of Patrick and congratulations on the quarter. Just to follow up on the previous questions, are you seeing any signs on NEA's next subsidy approval list, assuming the current one comes out in Q3, when do you expect the next one to come out and how many megawatts would have that?
Cao Haiyun: Actually no substantial updates for the catalog approval, but we believe it's on the track for the approval process. The government configures the preliminary review for the six renewable catalog and they requested more documents for some projects in China. And for Jinko, [indiscernible] the government has passed the preliminary review [indiscernible]. Our expectation is we will advance to the cash payment in the second half of the year.
Maheep Mandloi: Got that. And just on curtailment, you said it was high in this quarter as well. Could you just tell us how much it was? And what gives you more confidence that it would decline in the next quarter?
Cao Haiyun: [Indiscernible] in the first quarter [indiscernible] for the rest of the regions, including the Zhejiang and Jiangxi provinces and it's included in the second quarter, particularly in Zhejiang province and some visibility for the second quarter [indiscernible] reviews and including the second quarter. In Zhejiang province, the curtailment due to winter season local grids want to use a coal plant to generate the heating for the people living in that area. So we are very confident before the second quarter, we expect significant jump for the electricity revenues. It's going to be around I think 40% to 50% revenue generated [indiscernible] in electricity revenues. [Indiscernible] I think the recent policies are very positive. NDRC issued the regulations, the guaranteed purchase minimum for energy to protect [indiscernible] and NDRC has sought for the approval of new projects for some areas. And for Jinko, the impact of curtailment, it's more all the projects we developed in 2016 is in the East and South China and our exposure to the projects in the West regions were dropped to below 7% in middle of this year.
Maheep Mandloi: Thanks. That's helpful color. And the last question from me. The guidance kind of implies a decline in shipments in the second half. Can you help us understand whether this is primarily from the decline in shipments to Chinese markets? Or are you seeing any demand deceleration in other markets? Thanks for taking my question.
Cao Haiyun: Firstly, I just want to say, okay, we have more and more visibility for the second half of the year and now around 50% capacity was blocked. And for the guidance of 2016, I think we plan we may alter the guidance in the second quarter. And if you look at our second half of the year, I think first half of the year we total shipped around 50% of total shipments. And based on the current guidance and for the second half of the year, it's based on the programs and we may adjust in the second quarter.
Gener Miao: Yes. So this is Gener. So in general, we are keeping our cost management for the whole year's demand for the South side. However, Jinko is always conservative and more responsible for the guidance we release. So we would prefer to update it when we have more, I would say, confidence and visibility.
Maheep Mandloi: Thanks for taking the question.
Cao Haiyun: Thanks.
Gener Miao: Thank you Maheep.
Operator: We will now take our next question from Sheng Zhong from Morgan Stanley. Please go ahead. Your line is open.
Sheng Zhong: Thank you for taking my question. And congratulations on the strong results. My first question is about, as we extend our module capacity significantly in the first quarter, so wondering is there any capacity expansion in our Malaysia plant?
Gener Miao: You mean the capacity expansion in Malaysia, right?
Sheng Zhong: Yes. Capacity in Malaysia, yes.
Gener Miao: I think we build the guidance of capacity expansion, wafer is around 500 megawatts, cell is one gigawatt and module is two gigawatts. And for the cell capacity expansion, the majority of the capacity expansion for cell is going to be in overseas factories. And for the module capacity, around 50% is in oversea factories. And for the oversea factory, the expansion is still on track and it's in final by our production level and we intend to complete the capacity expansion in the middle of this year.
Cao Haiyun: Yes. The capacity in Malaysia will ramp up in full capacity since second half.
Gener Miao: And for the total 2016, we plan to ship around one gigawatt to the U.S. market from oversea factories.
Sebastian Liu: So this is Sebastian. So that means in the second half of the year, a big portion of our shipments to U.S. will be coming from our Malaysia factory. That will help increase our markets.
Gener Miao: So first half of the year, it's around 30% to 35% and the second half of the year, it's around 60%, 65%.
Sheng Zhong: So you mean, can you clarify the first half overseas
Gener Miao: Yes. I am saying, in terms of the one gigawatt shipment around 35% is going to first half of the year. The main part is in the second half of the year. So Sebastian is saying, we expect more and more shipments to the U.S. market from the oversea factories in the second half of the year.
Sheng Zhong: Okay. I understand. So among over 400 megawatt shipment to U.S. in the first quarter, how much shipment is from the Malaysia plant?
Gener Miao: It's around 150 megawatts.
Sheng Zhong: Thank you. And my second question is, you mentioned that the reason why we don't have project connection in the first quarter is because of the longer connection period in the East China. So normally how long is the project connection period?
Gener Miao: It's depending on the project, case-by-case. In the East and South China, the key hurdle is land acquisition. So it's taken us more time to acquire the land for some projects. But most of the projects are in the final stage now. And so we are confident that we can achieve our targets for the second quarter.
Sheng Zhong: Understand. And another one is about your operating cash flow. Why it's negative in the first quarter?
Cao Haiyun: Operating cash flow is up. I think it's around negative $15 million. The major reason is, we have more shipments in China. And in China the payment term is relatively slower than the payment terms in the second half of the year or last year. But it back to the standard payment terms and you can see that we have the increase in accounts receivable and we expect we will generate positive operating cash flows in the second quarter.
Sheng Zhong: And this cost our shipment to non-China region will improve? Or do we expect China's payment term will be better?
Cao Haiyun: No, the shipments will be more balanced and if you look at the Q4 and Q1 shipments, we have very big exposures in China. And also you know we are now seeing the payment terms in China is also relatively improving quarter-over-quarter.
Sheng Zhong: I see. And my last question is about the technology. As Mr. Chen mentioned that we will have enough generation difference in cell technology. Can you maybe give more color on this?
Sebastian Liu: Sure. Sheng, this is Sebastian. In fact, we are working on boosting our resource in cells, which traditionally is higher efficiency and stability. But we cannot discuss too much details about the features and other numbers of those technology. But we will review them, especially integrate those technology into our module products and you will see when we review our new series of module products.
Sheng Zhong: Okay. Also actually we expand our capacity significantly already. So will the new technology require, if new technology can be well integrated to our capacity?
Sebastian Liu: Yes. Of course.
Sheng Zhong: Okay. Thanks very much. And congratulations on the 10 years anniversary.
Cao Haiyun: Thank you Sheng.
Operator: [Operator Instructions]. We will now take our next question from Taylor Frank from Baird. Please go ahead. Your line is open.
Tyler Frank: Hi guys. Thanks for taking the question. It's for Tyler Frank from Baird. Can you discuss what you are seeing overall in the U.S. marketplace for utility scale project demand? Do you believe that demand will increase throughout the year? And how do you see 2017 shaping up?
Gener Miao: Hi. This is Gener. Good question. Actually, for the market in most part, it really depends on which number you compare with, right. If you compare with market demand and expect a number before ITC extension, for sure, the demand this year of U.S. demand for utility size demand has decreased quite a little bit. But if you compare with long-term, let's see between 2016 to 2019, even up to 2020, the average annual demand or total demand, the five year demand from U.S. has increased significantly compared to what is expected before ITC extension. So from our point of view, we have build out pretty mature partnership with our local U.S. customers and while we see some of the projects being delayed to late 2016, even 2017, but generally speaking we feel happy that the market will be more sustainable in U.S and we believe that demand locally are still very strong from U.S. So we are confident to reach our shipment target to U.S. in long run and we are more optimistic for the U.S. utility scale projects.
Tyler Frank: Great. Thank you. And then can you comment a little bit about the feed-in tariffs in China? Is FIT payment still being delayed? Or is that on a location specific basis at this point? And do you expect any headwinds with the payment tariffs to be resolved in the near-term? Thank you.
Cao Haiyun: No, the feed-in tariff is a national issue and it's a key agenda for the government to resolve. As I just said, we believe the approval process for the next ones in subsidy catalog is on track and we can get the cash payment in the second half of the year.
Tyler Frank: Perfect. Thank you very much.
Cao Haiyun: Thank you.
Operator: [Operator Instructions]. There are no further questions at this time. Mr. A - Sebastian Liu, please continue.
Sebastian Liu: Thank you operator. On behalf of the entire JinkoSolar's management team, I want to thank you for your interest and participation on this. If you have any further questions or concerns, please feel free to contact us. Have a good day and good evening. Thank you and goodbye everybody.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.